Operator: Good day, and thank you for standing by. Welcome to the RVL Pharmaceuticals Second Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question and answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your host today, Lisa Wilson, Investor Relations for RVL. Please go ahead.
Lisa Wilson: Thank you, operator. Welcome to RVL Pharmaceuticals second quarter 2023 financial results and commercial update call. This is Lisa Wilson, Investor Relations for RVL. With me on today's call are RBL's Chief Executive Officer, Brian Markison; Chief Operating Officer, JD Schaub; and Principal Accounting Officer, Mike DePetris. This morning, the Company issued a press release detailing financial results for the three months ended June 30, 2023. This press release and a webcast of this call can be accessed through the Investors section of the RVL website @rvlpharma.com. Before we get started, I would like to remind everyone that any statements made on today's conference call that express a belief, expectation, projection, forecast, anticipation or intent regarding future events and the Company's future performance may be considered forward-looking statements as defined by the Private Securities Litigation Reform Act. These forward looking statements are based on information available to RBL's management as of today. Involve risks and uncertainties, including those noted in today's press release and the Company's filings with the Securities and Exchange Commission. Such forward looking statements are not guarantees of future performance. Actual results may differ materially from those projected in the forward-looking statements. RVL specifically disclaims any intent or obligation to update these forward-looking statements, except as required by law. During this call, we refer to non-GAAP financial measures, such as adjusted EBITDA loss. For a reconciliation of adjusted EBITDA loss to net loss, please see the tables at the end of today's press release. The archived webcast of this call will be available for one year on RVL's website, rvlpharma.com. For the benefit of those who may be listening to the replay or archived webcast, this call is held and recorded on Monday, August 14, 2022. Since then, RVL may have made announcements related to the topics discussed, so please reference the Company's most recent press releases and SEC filings. And with that, I'll turn the call over to RVL's CEO, Brian Markison.
Brian Markison: Thank you, Lisa. Good morning, everyone, and thank you for joining our call. We have a number of important updates to share today. And as is our custom, we will be happy to take questions at the end of our prepared remarks. First, UPNEEQ, our one and only prescription product for Blepharoptosis or Droopy eyelid, continues to build momentum across our three channels. While we have done a great job establishing safety and efficacy with providers and patients of equal significance, we have compiled convincing data around the large Total Addressable Market, or TAM, and our exceptionally low level of consumer awareness. J.D. will address these points in just a few moments. Second, we have completed our strategic review and are in advanced discussions with a short list of companies that we could potentially partner with or acquire to support growth and integrate with meaningful cost synergies. To facilitate this strategy, two board seats previously held by insiders are available and we are actively recruiting independent directors with expertise in our field. Third, during the quarter, we continued to reduce operating expenses which has had a modest negative effect on our top line revenue of $8.3 million in the quarter. This was by design to extend cash runway to facilitate future business development and consumer activation. Our future marketing mix will shift to the consumer in order to complement our personal selling effort across the board. And fourth, before I turn the call over to JD, I'd like to highlight the rollout of Elevate. Our new e-commerce platform with any new system, there's a learning curve. However, I am pleased to report the conversions to the new system are ahead of our internal expectations. As a reminder, Elevate enables the Company to offer subscription options to all of our customers and a B2B2C program for direct purchasing locations. J.D?
James Schaub: Thanks, Brian, and good morning, everyone. Building upon the introduction, we are excited by the momentum being created by the Company and UPNEEQ. As we've refined our sales and marketing expenses, UPNEEQ continues to deliver tremendous success in the early stages of this market build. Before expanding with more detail, I wanted to provide some basic context on the platform and opportunity represented by RVL and UPNEEQ, both of which are truly unique and differentiated. With RVL, we have established an innovative business model unlike any of our peers. Our capabilities include our own pharmacy, direct sales and aesthetics, a cash-pay business model without payer restriction and a novel technology platform in Elevate, all of which serve to create a unique ecosystem of support and control for our patients and provider partners. Not only does this foundation help to position UPNEEQ for future growth but as we focus on business development, our platform provides a tremendous opportunity to forward integrate and or add products. With UPNEEQ, we have also launched a novel therapy poised for accelerating growth. Over the first two years, we have accomplished and learned a lot about the market. This progress in learning has allowed us to create an incredibly strong foundation for future growth. UPNEEQ continues to perform in the market, delivering consistent satisfaction for both providers and patients. The product is as advertised, delivering time and again, both efficacy and safety across a growing base of what we believe is more than 250,000 paid patients. There is a clear unmet need, patients want the product, are willing to pay for and repurchase. As you can see on the slide, we have established a broad and continuously expanding foundation of provider acceptance and subsequent access points for patients. Specific to the second quarter, our provider base has expanded to more than 21,000 prescribers and over 6,600 aesthetic and eye care practices with direct dispense capability, an increase of over 1,000 and about 400, respectively, since Q1. Moreover, we continue to see steady increases in the number of reordering aesthetic accounts which as of the end of the second quarter exceeded 2100, an increase of over 300 since Q1. Beyond the broad acceptance at the provider level, we have also layered in the telemedicine channel, providing a full complement of access points to find UPNEEQ. As we begin to optimize our marketing mix, our conviction in the potential outsized commercial opportunity only grows. The next few slides highlight the output of some of the recent market research elucidating the clear unmet need, large addressable patient population, low aided awareness and important variables driving the opportunity to meaningfully accelerate the growth curve through consumer advertising. In its most basic form, demand begins with unmet need and subsequent awareness before funnelling down through trial conversion and ongoing utilization. First, the market opportunity. Our consumer research continues to highlight close to 20 million adult women as bothered by perceived eyelid droop, when prompted. More specifically, when filtered again to reflect those who are bothered and show high intent to try, the addressable opportunity still comprises almost 14 million adult women between the ages of 20 and 70 with household income above $50,000. Importantly, the channel demographics suggests we have established the appropriate access points between eye care, aesthetics and telemedicine to support this future trial and conversion. Moving along, the next slide highlights the low awareness amongst this same demographic, a mere 1% of adult women in the U.S. are very familiar with UPNEEQ, a number at least five to six times below the nearest products tested, like Latisse and Lumify. Unaided, this awareness drops to zero. Clearly, our strategy with the sales force has established a strong baseline of provider acceptance and real-world data, which reinforces the value proposition of the product. In short, we have created strong validation of product efficacy in the real world, coupled with two and a half years of a safety database. Patient satisfaction remains strong across our growing user base and we have even had a growing number of investigator studies completed and or published, which highlights the quality of life impact UPNEEQ has in mild Ptosis. These fundamentals combined with our streamlined sales organization leave us well positioned to extract significant value from an investment in consumer awareness. And this slide highlights the hallmark attributes, which give us confidence in shifting our mix to consumer activation. Finally, as we entered July, we formally launched the next generation of our technology platform, Elevate. Elevate is a first of its kind prescription e-commerce platform, which serves to integrate ongoing access to UPNEEQ through connectivity between the practice, patient and RVL Pharmacy. For the practice, once a patient initiates therapy at the point of care, Elevate serves as the hub for an active prescription, whereby our pharmacy is now capable of fulfilling ongoing refill requests without the practice being required to follow up on compliance or refill requests, all while still maintaining a margin interest in future refills from each patient through our novel stripe connected account capability. For patients Elevate offers the ability to enter a subscription-based auto refill program, making access to UPNEEQ seamless and more affordable. Of note, this platform also services our existing pharmacy patients. And through the first month since implementation, our average prescription has increased about 15% in value while patient behavior due to the pricing optimization within the platform, has driven the average bill size from about 40 vials to about 60 vials. Moreover, the rollout to providers has exceeded our expectations as over 2,000 accounts have already been migrated about 30% of the total with about 1,200 having a confirmed strike connected account already. Though we remain in the early days, the Elevate launch is off to a great start, and we expect this capability to deliver increasing value to the business, providers and our patients as we continue the rollout. In closing, we have established a strong foundation for future growth, coupling a tremendous product with enhanced technology, while further optimizing our marketing mix to better align with the drivers of growth for the next phase of our evolution. We have work to do and look forward to providing updates as we go forward. With that, I'll turn the call over to Mike for a detailed financial commentary on the quarter.
Michael DePetris: Thanks, J.D. Good morning, everyone. I'll begin by sharing comments on our results specific to the second quarter of 2023, a reminder that our quarterly information and highlights can be found in today's earnings press release. We expect to file our quarterly report on Form 10-Q today. Net product sales relating entirely to UPNEEQ were $8.3 million in the second quarter of 2023, reflecting a slight decrease from prior year. The change was due to a year-over-year decrease in sales volume, partly offset by nominally higher pricing from a price increase put in during April of last year. Total cost of goods sold for Q2 decreased by $0.3 million to $1.9 million in the three months ended June 30, 2023. The decrease was primarily driven by lower sales volumes and royalty expense inclusive of contingent earn-out obligations unique to the 2022 period. Our gross profit percentage from product sales was 76% and 74% in the current year and prior year periods. The year-over-year increase reflects lower royalty expense, inclusive of earn-out obligations. SG&A expenses decreased by $6.3 million or by nearly one third year-over-year to only $13.9 million in the 2023 period. The sizable year-over-year drop in SG&A was driven by $4.2 million in lower net compensation and training costs, mostly due to the absence of an eye care sales force in the current year by $0.9 million in lower insurance, rent, legal and other professional fees, by $0.8 million in lower share-based compensation and by $0.2 million in lower marketing expenses. R&D expenses for Q2 decreased by $0.7 million or by just over half year-over-year to only $0.5 million due to lower compensation lower project spending and lower share-based compensation expense. Unique to the second quarter of 2023 and following our recent discontinuance of marketing efforts associated with arbaclofen we recognized impairment charges of $13.9 million to write off the asset. A reminder that this non-cash impairment charge is included in our reported total OpEx. No similar charges were recognized in the prior year period. Notably, in Q2, we again kept to our longstanding commitment to keep total operating expenses, or TOE, in check. After adjusting for nonrecurring or exceptional items and noncash share-based comp, our second quarter monthly TOE spend was solidly below $5 million well short of the $7 million benchmark we had set. Moving below operating income, other non-operating charges and credits net reflected a $2 million net expense in the 2023 period and a $3.3 million net income in the 2022 period. The net non-operating activities in each period were primarily influenced by fair value re-measurements required under our debt and warrants. Lastly, our adjusted EBITDA loss for Q2 was $7.4 million nearly 40% lower than the comparable EBITDA loss of $11.8 million in the prior year quarter. Finally, turning to our balance sheet and liquidity. At June 30, we held cash of $19.2 million and had senior secured indebtedness with principal maturities of $70.7 million. As Brian mentioned earlier, we've streamlined operating expense in order to extend runway, optimize marketing mix and support our strategic business development initiatives. With that, I'll turn the call back over to Brian.
Brian Markison: Thanks, Mike. And operator, let's turn it over for the Q&A. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Douglas Tsao with H.C. Wainright..
Douglas Tsao: Hello. Hey. Thanks. Can you hear me, Brian? 
Brian Markison: We can hear you fine.
Douglas Tsao: Okay, great. Thank you so much. Okay. Just a couple of questions for me. First, you obviously spoke about your interest in pursuing business development. I'm just curious what elements would have in other products provide you that you can't necessarily accomplish on a stand-alone basis? And two, just curious also in terms of the focus now on DTC. So obviously, consumer awareness is important. I'm just curious, though, given where you are at today, are you finding that sort of physicians are bringing the product up enough to patients and that you really need to have more pull on the part of the patient, that sort of a push model isn't sufficient?
Brian Markison: Yes. Thanks, Doug. Look, on business development, it's pretty straightforward for us. We've got a pretty meaningful sales force effort and anything we do that can amortize that call point, if you will, with the providers is just going to feed the engine. Also, we're fighting for attention amongst a plethora of other products, devices, services that are being offered to the aesthetic practitioner and anything we can do to build the portfolio to make us more relevant can only be helpful. The other thing that we're looking for is meaningful synergies, cost synergies, right? We don't need two separate sales teams calling on the same call point. We don't need two G&A's that overlap. So there's a lot of complementary sort of elements to build on and basically what we're going to describe as a bit of a roll-up strategy. The second point and perhaps maybe a little more important to us in the short term is -- there's vertical integration opportunities where there's operations out there that are designed to help bring products or services to the patient. And we're looking very closely at those and hopefully in the not-too-distant future, I'll be able to elaborate further with a very clear target that we're going to disclose. But let me turn the consumer activation over to J.D. He's, as you would imagine, very close to this.
James Schaub: Thanks, Brian. So look, I think it's pretty simple, right. This isn't by no means do we want people thinking massive traditional TV campaigns. But at a basic level, right, as we've said about building this new category, we've really done it strictly with the boots on the ground and the personal promotional selling effort. And I think one of the things that we found is without some more levers to toggle we're not optimizing the opportunity to build this market at an accelerating pace. And so one of the key things, particularly over the first year plus in aesthetics is when we have an opportunity -- and again, Brian touched on it, these are busy practices. I don't think there's been negative reaction to the product, but I think doing anything new, if you think about the average practice is a heavy lift. So for us, where we have some of the greatest success in terms of beginning to turn the wheel is an opportunity when our people are in there supporting events, patient-focused events within the practice and the patients are directly hearing the story in a clear and consistent manner, which prompts intrigue intent to trial and subsequent conversion. Without that, every time we go in, I think we make progress, we step away and the wheel continues to spin without UPNEEQ. And so for us, it's really about optimizing the marketing mix, which is something historically, I think if you look back over time, it's really been a field-centric effort which obviously is critically important, given this is a new category, new product, but we need to enhance the surround sound that supports that so that it becomes more of a push pull and we're giving ourselves the best shot at continuing to accelerate growth. And look, to close the loop, if we weren't seeing the patient satisfaction and continued success across a range of potential patient profiles, none of that would make sense. But we feel really good about the impact the product has. And now it's about opening up what it is, what it does and why there's an inherent need for it to more and more patients. And we think the best way to do that is through more consumer education and awareness.
Brian Markison: And Doug, when you take a look at the hallmarks for consumer activation, large TAM, low -- exceptionally low awareness is particularly unbranded. We're like nowhere in the awareness column. We've got a really broad and expansive provider base by design, right, because JD mentioned our boots on the ground approach. We have a large provider base now, and UPNEEQ has no competition. So whatever we do to activate the consumer, we should see the benefit of that and a much greater return on investment than what's typical in the industry and our brand has elite patient satisfaction. So field force support is the pull-through, and we're going to feed the top of the funnel.
Operator: Our next question comes from the line of Louise Chen with Cantor.
Unidentified Analyst: Hi. Good morning, team. This is Wayne, on for Louise. So our first question is with the direct-to-consumer and also the business-to-business-to-customers, which one are you most excited about? And how do you size these opportunities. And then how should we think about the operating expenses going forward? Is 2020 -- second quarter '23 a benchmark? Thank you. 
James Schaub: Yeah. Good morning, this is JD. So I'll take the first part of the question. And then Brian can come in and address the run rate, fill in any gaps. But look, I think they're both important, right, the B2B2C side, the technological enhancements that we've developed and launched as of early July, create a very unique connection at the practice, where patients that now initiate therapy in over 6,500 of our locations where providers are dispensing directly UPNEEQ now have seamless ongoing access to the product via this technology and our pharmacy. So that obviously creates a captive connection where we can service in an efficient manner, patients on an ongoing basis, which is something that didn't exist through the first year plus of our launch in aesthetics and certainly the eye care component of things. And when it comes to DTC, I think, look, we don't want to beat a dead horse here, but at some level, right, demand comes from awareness. And until we meaningfully expand awareness, given this is a new technology, it's really something that people aren't looking at themselves and overtly contemplating as I can improve this with a simple drop. It's really important that we begin to hammer that. And I think we've laid the right foundation to set up for an inflection point with that type of investment. And today, look, there's so many ways to be efficient with that spend. I mentioned it briefly. This isn't talking linear TV, massive 30-second spots on television. We're talking about a range of programmatic advertising, actually investing in paid search, some digitally focused tactics that are going to put this product and the message in front of more and more patients with consistency. And that's something we just have not done to date. So we're excited about it. We've got the work ongoing in terms of a true creative campaign, and we really think the combination is going to help to optimize and maximize what we think is in front of us from an addressable market.
Brian Markison: So Wayne, I would expect Q3 the expense base to be comparable to Q2. And then as we begin to plant the seeds for the direct-to-consumer campaign that JD referenced, I think Q4 will see a bit of a ramp as we head into that fourth quarter holiday season for aesthetics. And we're very excited about what we think those seeds will bloom into.
Operator: Our next question comes from the line of Balaji Prasad with Barclays.
Unidentified Analyst: Good morning, everyone. This is Michaela on for Balaji. Just a quick one from us. Just wondering if you could provide just a bit more color on the impact of economic headwinds that you'd expect for the remainder of the year? Thanks so much.
Brian Markison: Well, Michaela, I think we're so underpenetrated in general with the aesthetic practices in the world, I think -- I don't think we're really subject to a lot of economic headwinds at the moment. I think our rollout of Elevate, particularly as we're seeing early promising reads in the eye care segment are going to certainly overcome anything we're seeing there because remember, we're going to be now capable of offering subscription plans to patients. So the more frequent user can have a more economical solution and access to our product. And that's rolling into aesthetics as well across the board in all of our models. So I think we have an answer for headwinds. But again, I think we're so underpenetrated, not much of an effect.
Operator: Our next question comes from the line of John Vandermosten with Zacks.
John Vandermosten: Good morning.
Brian Markison: Hey, John. How are you?
John Vandermosten: I'm doing pretty good. Let me ask about and dig a little bit deeper into the strategy to increase awareness. There are a number of attractive Internet properties out there that are probably very amenable to a product that has a visual aspect to it. What kind of efforts do you expect to do there?
Brian Markison: Yes, John, you're pretty close to home and some of the things we're looking at. I think expanding on our capability to interact more directly with patients in a model where every dollar spent on customer acquisition cost can give you an immediate read roughly on the one-year long-term value, or LTV, I think, is going to be very important to us. And again, it's all about optimizing our mix. So again, we're pretty close in conversation with a couple of interesting parties, and I think I can just really leave it at that. But I think vertical integration might be one of the keys for us.
John Vandermosten: And are there any metrics that you're going to be using that will help kind of evaluate the effectiveness of your upcoming marketing dollar that you're going to maybe share with us or at least look at internally?
Brian Markison: Yes, J.D.?
James Schaub: Yes, sure. So look, it's pretty basic, right? I think the visibility around key metrics like return on ad spend, become sort of the north star for us. Is it great to see impressions expand hundredfold? Sure. right? And we'll certainly look at that. But it's really about the level of engagement that we're able to drive. And again, the nice thing when you think about the digital tactics available to manufacturers today in really any industry, your ability to be not only efficient, but gated in your spend because of the amount of data you're able to churn through and understand cause an effect with the things that you're doing. We're absolutely going to go through this test control pilot process before we ramp even more meaningfully so that we're toggling and putting every next dollar behind the things that have the biggest impact on the revenue line. But fundamentally, it's going to come back to things like return on ad spend.
John Vandermosten: Okay. Helpful and then regarding the potential combination. I just want to get a -- I know you're not sharing too much on that. But first of all, is it a product or a service, I know you're contemplating a few different things, but maybe you're looking at both a product and a service trying to decide between the two? And then how do you expect to pay for the acquisition? Will this be a kind of a stock-for-stock transfer? What do you think you might be doing on that side of things?
Brian Markison: Well, I think it's not one size fits all, and there's a few short-term prospects that we're very close to. They're not mutually exclusive. I think it's really more of the order in which we want to go. We're most focused on what will give us the greatest potential to drive UPNEEQ. And as far as cash versus stock versus debt versus other means of funding, look, we're going to look out for the shareholder and make sure that what we acquire or pick up is going to be hopefully accretive as soon as possible and provide meaningful lift in terms of valuation. So I can't really signal how we're going to do it, but we have a lot of tools available and we're going to be as capital efficient as possible in this effort.
John Vandermosten: And also looking at a potential target, will you be focused more on, I guess, the product sales itself or are you looking at some of the infrastructure of this complementary asset or Company that you're looking at that may provide a better penetration in sales because I think your sales force may be down a little bit year-over-year. What -- I mean, there's, I guess, two components there, right? There's the product sales and then also the infrastructure that can help leverage up net sales as well.
James Schaub: Yes, good question. It's going to be both, right? I think to Brian's point, we're looking for accretive opportunities. So there has to be revenue involved. And then any time you're exploring M&A, it's an opportunity to add capability and enhance the overall business. So there's certainly capabilities today that become incremental to what we have and are capable of doing, whether that's enhanced medical education and support, whether that's forward vertically integrated capability that doesn't exist today. So we're focused on both, John. And I think fundamentally, it's got to be something that is bringing revenue. That's important to us. We do have an infrastructure that does a lot. We've created a lot of capability that we certainly are keen on leveraging as we move forward. But it's also about enhancing capability, particularly in light of enhancing what we're doing with UPNEEQ. That is clearly still the single biggest value driver and something we remain keen on accelerating and extracting maximum value as we move forward.
Operator: [Operator Instructions] Our next question comes from the line of Glen Santangelo with Jefferies. Glenn, your line is now open. 
Glen Santangelo: I'm sorry. Can you hear? Excellent. Brian, I just want to follow up on a couple of things here. First, on the Elevate platform, you said in your prepared remarks that that's running ahead of your internal expectations. I was wondering if you can elaborate on that a little bit more because now that you've been running the platform for a while, I'm kind of curious to see if that's having any impact on your margin structure at the Company, maybe being a cheaper way to sell and distribute the product through that platform maybe as accretive to your margins in some way, shape or form. And I'm wondering if you can give us more details around that.
Brian Markison: Sure. J.D.
James Schaub: Yes. So let me step back and make sure for the folks on the phone, we've got the context here. What Elevate does is it provides us with a couple of key things. Number one, for the first time, we can control for optimized pricing in the market. And that's really important, right? None of what we've built has been intended to position UPNEEQ where there's arbitrage in terms of out of whack pricing dependent upon channel, whether it's telemedicine, whether it's our pharmacy or whether it's our provider partners. And so for the first time, we've been able to now introduce and there's some technology involved in this as well, subscription-based offerings and reduced cost for more quantity purchased upfront. And so if I think about sort of the first half of the year and prior because, again, we launched Elevate coming out of the fourth of July this year. We're about four weeks in, five weeks in. Patients on average were filling a prescription of about 40 vials worth of UPNEEQ. Over the first four to five weeks, patients are now filling on average about 60 vials of UPNEEQ. Now the pricing optimization has obviously reduced some of the 90 count pricing was about $425 prior to the launch of Elevate. Now a onetime three-month purchase is $350 or you can get a quarterly subscription for $2.99 or $99 a month. But on average, the increase in bill size has compensated for any net decrease in prescription value where we are up in terms of the value of a filled prescription. So it should become accretive to the margin profile of the product as we move forward. And obviously, the more product people are willing to purchase one aspect of that is optimized pricing. And if I think historically, we've got a product right. We think we've got an entry point that is pretty close to optimized, but we also recognize that $150 to $200 a month is not the price point that's going to drive increasing utilization. And so this platform, one of the things that it does is gives us the ability to drive that behavior and so far, so good. And we think we have enough data now to feel good about that shift being sticky. And then moreover, right, if you think about over the course of the first year, our estimates suggest probably somewhere between, call it, 150,000 new patient starts in aesthetics. We don't have direct visibility, so there's some triangulation there. But at the end of the day, none of those patient starts have ready access to refills. They've got to go back to their office if they want product. With Elevate, that now becomes an RVL pharmacy capability on behalf of the practice where they still have a financial relationship with our pharmacy but we have direct connection to the patient and can fulfil in a seamless and efficient manner on an ongoing basis. So look, we're excited about what this serves for both UPNEEQ and potentially future products as we go. And fundamentally, it seems as though it's going to be accretive to the margin profile.
Glen Santangelo: I appreciate all those details. Maybe if I could just ask a follow-up on the margins. The Company made some nice strides in terms of trimming expenses year-over-year. Is the level you're at now, is that sort of the right level to think about for the balance of the year and into next year? I mean, just given the boots on the ground that you currently have in place?
Brian Markison: Yes, Glenn, I think Q3 will be pretty much look like Q2 in terms of total operating expense. And then I believe Q4 should ramp a bit up as we head into the holiday season and also begin to plant the early seeds for our direct-to-consumer campaign that we've spoken about quite a bit here on the call. So Q3 more or less flat, Q4 a little up. But as the expense rises, so will the sales, this is an extremely promotional responsive brand, and we're very conscious of the mix that we have to deploy.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Brian Markison for closing remarks.
Brian Markison: Thank you, operator, and thank you, everyone, for joining us today on the call. We look forward to future calls and interactions with many of you. Have a good day.
Lisa Wilson: This concludes today's conference call. Thank you for participating. You may now disconnect.